Operator: Good afternoon, ladies and gentlemen, and welcome to the C.H. Robinson First Quarter 2012 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, Tuesday, April 24, 2012. I would now like to turn the conference over to Angie Freeman, C.H. Robinson Vice President of Investor Relations. Please go ahead, Ms. Freeman.
Angela K. Freeman: Thank you, Joe. On our call today will be John Wiehoff, CEO; and Chad Lindbloom, CFO. John and Chad will provide some prepared comments on the highlights of our first quarter performance, and we will follow that with a question-and-answer session. [Operator Instructions] Please note that there are presentation slides that accompany our call to facilitate our discussion. The slides can be accessed in the Investor Relations section of our website, which is located at chrobinson.com. John and Chad will be referring to the slides in their prepared comments. Finally, I would like to remind you that comments made by John, Chad or others representing C.H. Robinson may contain forward-looking statements, which are subject to risks and uncertainties. Our SEC filings contain additional information about factors that could cause actual results to differ from management's expectations. And with that, I'll turn it over to John.
John P. Wiehoff: Thank you, Angie, and thanks to everybody who's taking the time to listen to our first quarter 2012 conference call. We sent our earnings release out about 45 minutes ago and as Angie mentioned, I will be referencing the accompanying slide deck that helps explain our results for the first quarter. Starting with Slide 2 on that deck, the overall summarized results referencing our 4 kind of key metrics that we always talk about. Our total revenues for the quarter grew 7.9%. Net revenues grew 6.3%. Income from operations were up 8.2% and EPS increased 10.2% for the quarter. Similar to past sessions, I'm going to make some prepared comments by service line, and then turn it over to Chad for some overall financial statement comments and then I'll wrap up with a few other thoughts. Before we jump into the comments by service line, I'd just like to highlight some of the general themes that hopefully will come through in the call is that across all of our services, we did have better volume growth than the past couple of quarters. We felt better about our market share gains and our growth in almost all of our activities. We also feel very good about our execution and our service levels. We feel like the company is running well and that our services are being delivered in a fashion that we're proud of. You'll hear a fair amount about margin compression across all of our services, and another common theme is that we are investing in people and systems, with hiring and additional investments up to support our future growth. So moving from there to Slide 3, our overall transportation results for the first quarter of 2012. Transportation net revenues grew 7.1% for the quarter. As I mentioned, we did have volume growth in all of our services in the transportation area. Our transportation net revenue margin declined in the first quarter of 2012 compared to the first quarter of 2011 and as you can see in the chart, was at the low end of our 10-year history. We've talked a lot in previous calls about all of the things that can impact our margins. Given our business model, there are a lot of things and a lot of forces that end up being reflected in our net revenue margins, including fuel, timing and pricing changes around supply and demand, mix, competition, seasonality, utilization, a bunch of other things as well. The comments throughout the various services will hopefully help you understand a number of the impacts that are affecting our net revenue margins, but we do understand that it's challenging to understand what are fluctuations versus what are longer trends. Moving to the truck results, truck services on Slide 4. A reminder that this truck net revenue for us includes both truckload and LTL and combined, they grew 7.1% for the first quarter of 2012. In the truckload services, we were -- we did have stronger volume growth, with 8% truckload volume growth for the first quarter of 2012. While our volume growth in the quarter was better than the past several quarters, we are in a part of the cycle where the tightening market causes our net revenue margin to decrease. Our truckload net revenue margin declined in the first quarter, primarily due to our cost of capacity rising faster than our pricing to our customers. The truckload market is tightening, and that caused truck pricing to rise. Higher-priced fuel also contributed to truckload net revenue margin decline. We've discussed in the past, and it probably is a good time to revisit, our pricing to customers and how we execute that. Our pricing decisions are decentralized on a customer-specific basis. So our network of offices and our people and account managers that are in that network, one of the strengths of our business model is that we treat each customer and each opportunity with unique consideration around how we look at the market and the service requirements for that customer. The decisions are supported centrally with analytical tools and other things to help us be consistent and accurate, but the decisions really are made customer by customer, branch by branch on a relationship-specific basis. So when we get to this part of the cycle, and we know that the market is changing and tightening and the cost of capacity is increasing, remember that for most of our truckload capacity on the procurement side, we are -- prices are changing fairly quickly, as the length of our commitments are generally shorter and that the prices will increase or change with the market much faster. On the customer side, as we've talked in the past, we're very common, with half or more of the freight have some sort of pre-established price commitment or rates in place. So when the market starts to tighten as it is now, we generally see that cost of hire increase fairly quickly. And our customer pricing will adjust on a customer-by-customer basis as appropriate. It takes time for that to happen. The exact timing depends upon market circumstances. During the first quarter of 2012, we did see a significant tightening in March in our part of the business. So January and February had good volume growth but in March, the volume growth accelerated. And as we'll come back to later in the call, that's carried into April as well. So we don't have the centralized tariff pricing, and we don't have the ability nor do we desire to change prices across the enterprise with a single decision or change. But it happens gradually where appropriate. Most often it happens lane by lane, and how quickly it happens will depend upon the market conditions and each customer relationship. On the LTL side of our business, we continue to have double-digit volume growth and feel that we continue to add good value to those services in the marketplace and that it remains a significant growth opportunity for us. Moving to Slide 5, our intermodal results. Again, we had double-digit volume growth in our intermodal services. Net revenues were up 1.2% for the quarter, so margin compression largely offset our pricing and volume gains. There was a continuation of themes we've talked about the past couple of quarters as well, with some changes in the mix to a little bit shorter length of haul overall with more growth coming in the East, as well as we continue to grow through some more dedicated intermodal relationships with dedicated intermodal shippers. And we continue to have success with owned or dedicated equipment that we're putting towards those relationships. Moving to Slide 6, our ocean and air results for the first quarter of 2012. Again, these represent primarily international air and ocean net revenues in our global forwarding business. We continue to see weaker demand and challenging conditions in our global forwarding industry relative to some of the other services that we provide. Our ocean net revenues grew 1.2% for the quarter, and our air net revenue declined at 3.4% for the quarter. We're still happy with the progress in building out our global forwarding business. We're investing, and we do believe we're taking market share in both of these services. However, the market conditions remain softer, and net revenue margin increases help to offset some of the price declines and volatility in the marketplace. Moving to Page 7, other logistics services. As our slide suggests, these net revenues include transportation management services and customs brokerage revenues, which are the 2 largest components for the category. Our net revenues for this category were up 24.2% for the quarter. Most of the services in this category represent fee-based services, where we have a different type of pricing relationship with our customers. We continue to see long-term growth and demand for outsourced relationships that get handled through this management services category, and we continue to view this as one of the more positive and higher growth components of our story. Our services that we can offer in the management services area are driven by the fact that we have a global offering that we feel very good about that we can cover on a pretty broad scale, as well as technology that we're very proud of and think is industry-leading. And then our people, with transportation and supply chain expertise, are very important as well. So the combination of those and the changes in the marketplace, we would continue to have a very positive outlook for the transportation management services and the opportunities in this revenue category. And lastly, as a reminder, virtually all of these transportation management services are combined with more integrated customer relationships where we typically have a meaningful freight relationship as well, so transportation services revenues from the other categories are oftentimes integrated in with these management fees. Moving on to Slide 8, our sourcing service results. Very similar themes to several of the last quarters that we talked about, where we have some customer and mix transitions that continue. Our sourcing net revenues for the quarter declined 3.2%. As always, we have a change in some of the seasonality in different commodities that move around from a margin standpoint. Margins of 9.2% last year included the benefit of some volatility of bad weather in the first quarter of 2011. The margins for this quarter probably represent more normal activity. We feel like we have one more quarter of 2012 where we have more challenging comparisons from some of the lost business that has transitioned out in our sourcing results. And we still have a lot of confidence in the value that we're adding and the programs that we are developing for longer-term growth in our sourcing services. The last service category, Slide 9, Pay Services, again represents those services offered through our subsidiary T-Chek. T-Chek's net revenues for the quarter grew 8.1%. Similar to last year, that growth was driven by high growth in our MasterCard services. In addition, some increased fees in the quarter due in part to higher fuel prices because a portion of the fees are based on a percentage of the sale. Those are the prepared comments by service line. So now I'll turn it over to Chad for some prepared comments on our financial statements.
Chad M. Lindbloom: Thank you, John. On Slide 11 you can see, and as John mentioned earlier, our total net revenues grew 6.3% for the first quarter of 2012 compared to the first quarter of 2011. Overall, our operating expenses grew slower than our net revenues for the quarter. In our particular quarter, as we've talked -- discussed in the past, expenses and growth -- expense growth rate between net revenues -- expense growth rates can vary between net revenues and the operating expenses. In the first quarter of 2012, our personnel expense increased 5% even though our headcount increased 9%. This decline in personnel expenses as a percent of net revenue was driven to a reduction in some of our incentive compensation and equity compensation programs that are based on the growth in earnings. Our stock-based compensation expense for this quarter was 9.8% (sic) [$9.8 million] compared to 12.5% -- $12.5 million for the first quarter of 2011. Growth in other operating expenses was driven by increases in many different areas, including depreciation and amortization. This increase was driven primarily by increased investments in technology, both hardware and software, to support the long-term growth in our business. We also had increases in bad debt expense, primarily driven by one specific Chapter 11 filing. Other operating expense categories grew as well, as our people have been focused on growth, traveling more and other types of expenses to support future growth. Moving on to Slide 12. We continue to have a strong balance sheet, with cash and investments of approximately $311 million and no debt. Our net CapEx for the first quarter was approximately $14 million including investments in software. During the fourth quarter call, we talked about our CapEx expense expectations for 2012 of $40 million to $45 million. We now believe it's going to be closer to $45 million to $50 million, as we continue to ramp up and increase our investments in technology for future growth. Moving on to our share repurchases. We have discussed in the past our strategy of using share repurchases as a variable way to return excess cash to our shareholders. During the first quarter of 2012, we repurchased approximately 1.1 million shares at an average price of $65.55. And now I'll turn it back to John for some closing prepared comments.
John P. Wiehoff: So with regards to the last slide and the current period comments, as we think about how our business is changing and what types of information can help understand the future and what results might look like, it feels like it continues to be as difficult as ever to try to forecast or understand how the economy and the demand and the tightness of the markets are going to change. So we like to share with you kind of how we look at the business, which is sort of realtime information and just share exactly what we know to date. So for the month of April through yesterday, our North American truckload volume growth per business day was approximately 10%. Our total net revenue growth per business day was around 1%. So I'd like to throw out the customary cautions that, particularly in midmonth like this, there can be a lot of variances caused by the timing of weekends or holidays and its preliminary, and all those sort of caveats that can make things a little less certain than they would be at the end of the quarter. But nonetheless, we do think it's relevant and want to share with you those 2 key metrics because they reflect the continuation of the trend from the last couple of quarters of the truck market tightening, our volume growth accelerating and net revenue margin compression offsetting that. So I would wrap up with some of the bullet points on the last side -- slide by saying that we continue to feel very good about how the company is executing. Our people are working hard, and we feel like our customer service levels are very good. We're continuing to invest in our growth, both hiring people and building out the systems that we think we'll need for our future success. We're continuing to emphasize those account management relationships and evolving our strategies in the marketplace. We like the way our variable cost model works and feel good about how our business disciplines are staying intact, and we're working through the portion of the market cycle where we have to deal with margin compression and make sure that we adjust our pricing and adjust our services how and where appropriate. With that, I'll finish the prepared comments and turn it over to the operator to open it up for questions, please.
Operator: [Operator Instructions] Our first question comes from the line of Bill Greene with Morgan Stanley. We will go to our next question. That is from the line of Chris Wetherbee from Citi Financial.
Christian Wetherbee - Citigroup Inc, Research Division: When you think about the -- on your last comments, the normal kind of margin tightening cycle, could you give us a sense of kind of maybe where we are in the longer, I guess, longer freight cycle and how the tightening kind of plays out over the course of, I guess, the rest of this year and potentially longer? Do you need to see more sustained level of economic and volume growth in order to finally reach some level of stability? Or how do you think about that just in context of what would be a normal kind of margin cycle?
John P. Wiehoff: Well in a lot of ways, when we think about market cycles and what is normal, at a high level, the normal thing is that when volume starts to accelerate, that margins will compress. For the last couple of years, when we've talked about a relatively balanced market from a supply and demand standpoint and the fact that at the same time there was a lot of concern or discussion in the marketplace about all of the factors that were different this time around and how difficult it would be for capacity to add, how rule changes around hours of service and CSA would cause capacity to accelerate price more aggressively. But for the last couple of years, we've been sort of working with our customers, making sure that we had good plans in place to handle committed volumes. And frankly, like a lot of people, we may be a bit surprised that the market didn't tighten over the last couple of years. So in March and April of this year, we're starting to see some of that tightening and we're starting to see some price increases. But I think, kind of where it goes from here really has a lot to do with the overall demand in the marketplace and then how the supply side can react to that and how it will play out. So it is very difficult to predict. For the last couple of years, lots of discussion around if demand continues to accelerate and get more and more aggressive that there was the possibility for very significant price increases because the supply side was going to be hesitant and not able to add a lot of equipment in a short period of time. If that happens, we could see a longer period of margin compression and time needed to adjust prices. Even in the month of March when it looked like things were getting tighter towards the end of March it softened a little, and then it got tighter again in April. So it's too early to really know exactly what the depth of the tightening is going to be and how the supply side will react, how our competitors will react. But that's sort of the mode that we're in right now is just waiting to see how the next couple of months play out and how the market conditions warrant what type of response.
Christian Wetherbee - Citigroup Inc, Research Division: Okay. Is it fair to say that just a level of, I guess, predictability amongst the demand side is probably the best recipe for you going forward, whether it be a tightening that will initially cause some more meaningful margin compression? But does that ultimately provide you with the ability then to go to customers and start raising prices, the predictability of the trend of demand is kind of what you should be focused on?
John P. Wiehoff: Yes. I wouldn't say as much as predictability as what typically happens in the marketplace when the market starts to tighten is you'll see more and more service failures, and you'll see freight that the terminology that we would use is going deeper in the route guide that if you're a shipper, you have to go to multiple providers to find somebody who actually has equipment available to haul that. And when you start to see a marketplace where there are more persistent service failures and more persistent freight that gets tendered deep into the route guide, that's typically what will require or allow us and a customer to think about maybe some price changes that would improve service levels or improve commitments. So it's really about the consistency or repetitiveness of equipment availability, service failures and route guide depth in the marketplace that will drive it.
Operator: Our next question comes from the line of Peter Nesvold with Jefferies.
Tavio Headley - Jefferies & Company, Inc., Research Division: This is a Tavio Headley in for Peter Nesvold. Operating expenses grew about as fast as revenue this quarter. Is that what we should expect going forward? Or is there any reason why one will grow faster than the other?
John P. Wiehoff: Yes, we've been talking for quite a few quarters now or actually years about the relationship between the growth in operating -- or net revenue and operating expenses and how, if you look back over the long term since we've been public, our net revenue growth has exceeded our operating expense growth to the tune that we've gone from a little under 30% operating income to net revenue to a little over 40%. We've been talking for quite a while saying we don't expect that same type of margin expansion going forward and that we expect periods of volatility where maybe one will grow faster than the other. But overall, the primary driver of growth will be net revenues going forward. And we won't expect it to exceed -- or to have that same type of operating leverage that we've experienced in the last 10 years.
Tavio Headley - Jefferies & Company, Inc., Research Division: Okay. And just as a second question, yield and transportation were only down about 30 basis points year-over-year. Now that's not bad given capacity was well balanced. What drove this? Was it a mix?
John P. Wiehoff: As I said in the prepared comments, there can be a variety of things that impact the margins. Fuel prices this period were a little bit higher than they were in previous periods, which can have some downward pressure on it. There are mix issues from quarter-to-quarter. Those don't tend to have a tremendous impact. But if you look at it over a 10-year period of time, they can have a more meaningful pact -- impact. We feel like in the current quarter, probably the impact that was most dominant was just the timing differences and the price changes between suppliers and customers. So during the quarter, we saw some increases to our cost of hire and our cost of capacity and our pricing to our customers was more stable. It increased, but not by as much. So while it's difficult or frankly impossible to isolate any one variable in our margins, we feel like that was probably the most significant impact in the first quarter.
Operator: Our next question comes from the line of Tom Wadewitz with JPMorgan.
Thomas R. Wadewitz - JP Morgan Chase & Co, Research Division: I wanted -- I guess, one short one on the doubtful accounts and then I had, I guess, a more substantial one. But Chad, you talked about doubtful accounts being up a little bit. Can you give us any sense of the magnitude of the impact?
Chad M. Lindbloom: Yes, you can see on the cash flow statement what the total provision for doubtful accounts was -- sorry, let me get the number really quickly. It was $8.4 million this quarter -- wait. No, I'm sorry. $4.8 million this quarter compared to $2.4 million last year. The bulk of that increase was made up by one customer that we had that was in the beef products industry, and they had some of -- the bulk of their products included the pink slime, which basically caused them to file Chapter 11 during the quarter. So they went from being a good credit risk to a bad credit risk all within one quarter.
Thomas R. Wadewitz - JP Morgan Chase & Co, Research Division: Okay, great. That's helpful. The question I had for John, there was an article not that long ago in the Star Tribune that talked about C.H. Robinson, and then you had some comments in the article. At the end of it, there was a question about, I guess you were commenting on potential impact of increased competition. And the way the article characterized it was you kind of said, "Well, if there's more competition, we grow at 12% net revenues, and that's still pretty good." You never know how things show up in the press in terms of context or what you intended. But is that something that's significant that you think maybe there is a reason to think that the net revenue expectation should be more like 12% looking forward, than 15%? Or is that really just kind of off-the-cuff, and that's not indicative of what -- how you view the business?
John P. Wiehoff: We have not changed our long-term growth goals. We have always been at 15%. We have always stated that as a longer-term growth goal, of which there's going to be variances in growth rates. Thank you for the comment on that, and I appreciate. That was a long conversation, of which kind of the final quote was included in the article. And really, the discussion was more around the fact that our growth rates have always varied. And they vary for a lot of reasons, including the margin fluctuations and the change in competition and all the different things that we've talked about in these calls and we talked about them through the article as well, too. So we were discussing how much of this was temporary and would cycle back to more typical levels and allow us to achieve that 15% growth rate and what, if any of it, was permanent changes around the cost of hire, the competition or things that would maybe not allow us to achieve those longer-term growth goals. And in several of the questions and several of the exchanges, we were talking about failing to achieve our long-term growth rates and failing to succeed. And the comment was really more around we believe that the long-term growth goal is still viable, that rates are going to fluctuate, our growth rates are going to fluctuate. But that I didn't like associating the word failure with our 2011 results, where the EPS grew 12% and felt like that was a pretty good year. So that was really kind of the closing comment was if, in fact, there are more permanent changes in the marketplace and that our long-term growth goal proves to be too aggressive in the future, that I wouldn't associate the word failure with it. But we have not backed off of our long-term growth target of 15%.
Operator: Our next question comes from the line of Nate Brochmann with William Blair.
Nathan Brochmann - William Blair & Company L.L.C., Research Division: I wanted to explore a little bit on the expenses, and I know we talked a little bit about kind of the changes and how the margin increase wouldn't be the same as it was over the last decade. But you guys referenced a lot in terms of the expenses being a little bit higher to support "future growth." And certainly, obviously the business has seen better volume and you're investing in some of the other newer areas. But could you talk a little bit more specifically on what you're seeing out there in the pipeline in terms of those opportunities, because it feels it's a little bit more aggressive than just kind of the normal kind of growth opportunities.
John P. Wiehoff: Well for starters, Nate, one of the things is that we have always discussed how well our people costs are intended to stay pretty consistent or pretty variable, that we don't always hire exactly proportionate to the growth. That we've had some periods in the past where the past couple of years where we were growing our volumes, but we were trying to better leverage the existing network and the existing people. So now part of the -- part of our statement is just to confirm that as our volumes are growing 10%, we did add 9% people that we're investing in the network of human capital out there to continue the growth. So that's one of the messages, I guess, is just to make it clear and understand that while we have some variability in those costs, the network is hiring and we see that as a good sign in terms of the need to associate it with that. When you look at several other areas of our business and the services that we're offering is the trend of technology becoming more and more relevant is clear. So you've got the management services that I talked about in the prepared comments, where there are significant technology fees and lots of things that we're doing that are very dependent upon expanded and enhanced capabilities in our operating system. We've talked a lot about our global forwarding services and the money that we're spending to connect the planet from every office, in terms of all of the information and realtime pricing and things that we want to be able to improve our effectiveness at offering those services. In our Payment Services business, we've invested significant amounts of money to expand the capabilities into the MasterCard services and other types of supply chain cost, so that we can offer more comprehensive financial payment and information gathering services to help understand the supply chain or manage fuel cost. So those are just a couple of the examples of where our services are evolving and driving elevated technology investment as well, too, that we again feel is reflective of the fact that our services and the third party industry growth feels like there's as much opportunity as ever for us.
Nathan Brochmann - William Blair & Company L.L.C., Research Division: Okay. That's helpful. And then just one quick follow-up, just in terms of the volume. Obviously, I think seeing a little bit of a broader pickup than you have over the last couple of quarters, is that the result of a couple of really big wins? Or is that just kind of broad blocking and tackling like you always do?
John P. Wiehoff: It's very broad-based. Our customer metrics are very similar to what they've been in previous periods. And if you think about the last couple of years and a more balanced market and the fact that we, like most people, wanted to be more positioned near the top of that route guide and kind of the first phone call that shippers were making over the last couple of years. What can happen in this period of time is that when everybody starts to have a little bit more freight, you're being tendered more freight across the board at those existing price commitments that are in place. And meanwhile, your cost of hire is going up because the carriers feel the market changing and are adjusting their prices daily pretty much in the type of environment that we're at. So what we've seen is kind of across-the-board elevation of tendering and us accepting a higher percentage of that freight at kind of existing relationships with a corresponding increase in the cost of hire.
Operator: Our next question comes from the line of Scott Group with Wolfe Trahan.
Scott H. Group - Wolfe Trahan & Co.: So I think that the part of the message over the past couple of quarters has been that you guys needed just a little bit more volume to start getting closer to that 15% net revenue growth target and I know it's just 23 days, but it feels like obviously we're getting a little bit better volume, but net revenue growth is just going in the wrong direction. So what is it from here that you need? Is it just more time on the customer pricing? Do you start to rethink some of the strategy in terms of growing the headcount so quickly? Is there something about maybe getting out to the sales force and telling them to go after more pricing? I guess, what is it really that you can control to start seeing this net revenue growth reaccelerate?
John P. Wiehoff: The way we think about it and the way the model has worked for the last 30 years is that volume growth fluctuates based on market conditions and margins fluctuate based on margin condition -- market conditions. In 2004, 2005, 2006, where we had double-digit volume growth and margin expansion and 25% to 30% net revenue growth, we did not then change our 15% growth target or expectations either. It was just a period of time when market share and volume growth was coinciding with margin expansion. When margins contract then volume is growing, we have more muted net revenue growth like we do now. So what we do is keep selling and executing and taking market share and waiting for the part of the cycle where we have, hopefully, this accelerated volume growth and at least margin leveling, if not margin expansion, that will cause a much higher net revenue growth. So the way we manage our business is just to accept the fact that margins are going to fluctuate and that we stay focused on servicing the customers, taking market share, hiring the right people, making the right sorts of investment and just allowing the various parts of the cycle to take what the market will give us.
Scott H. Group - Wolfe Trahan & Co.: John, do you have any visibility to how long this part of the cycle is going to last this time around? I guess what's just a little confusing is it doesn't feel like we've had this big significant inflection in the market. It feels like it's been kind of this steady volume growth and kind of consistent truckload pricing environment. So I'm not really sure what's changed this quarter that's making it so much tougher to pass on the rate increases. Maybe if you have any visibility to how long this continues.
John P. Wiehoff: Well, from the standpoint of -- again, we're somewhere between 1% and 2% of the market and the customers, the commodities, the lanes that you're involved in can -- that we're involved in can cause our market and our tightness to look different from what you might be seeing in other companies or other parts of it, so I can't speak for the industry as a whole. But I know in our situation when we start to see accelerated demand or accelerated volume like this, as I said in the prepared comments, it really depends upon where the market goes from here and how tight things are as to what's the appropriate level of repricing and when do those margins level off. We also know that the first half of last year was better from a margin standpoint than the second half of the year. So some of it is comparisons, too, in terms of how the rest of the year will play itself out. And I appreciate, as I said in the prepared comments that, that can be a little bit of an unfulfilling answer because we don't know. We don't know what the market is going to look like, and we don't know what the appropriate level of repricing will be. But our history is that we manage these account by account on a decentralized basis, and we do what's appropriate based on the customer commitment, and those margins and volume growth have fluctuated, generally inversely and have worked well for us over time.
Scott H. Group - Wolfe Trahan & Co.: Okay. And just last quick thing. I know Easter was later a year ago, right? I think right around April 23. So is there something in the 23 days of data that you gave us for the second quarter that makes the comp really tough and maybe the comp sees a little bit in the back half of second quarter? Or do you think that this 1% net revenue growth is kind of a fair expectation for the full quarter?
John P. Wiehoff: There could be some comparison differences, and that's why we put that out. I think, as I said in the prepared comments, we think it's best just to share exactly what we're seeing. But every day of the week, certain days, Mondays and Fridays tend to be different than the other days. Holidays have an impact, as Easter would. I don't think that it would be more than a couple of percentage points at this point. The comparisons change as the quarter wears on and there's lots of other things, so it could certainly vary. But it's not -- I think it's still -- we wouldn't share the information if we didn't think it was pretty relevant directionally.
Chad M. Lindbloom: And as John actually said in the prepared comments, it could -- the quarter could turn out completely different than the first 23 days of the quarter. We want to make it clear that we did not give that as a projection of the quarter.
Operator: The next question comes from the line of Alex Brand with SunTrust Robinson Humphrey.
Alexander V. Brand - SunTrust Robinson Humphrey, Inc., Research Division: To follow up on Scott's question, it doesn't seem like that much has changed in the market. So I'm wondering if -- is your accelerating demand, maybe you guys were going and doing a better job taking share? Are there any specific customer types or industry verticals you could point to where you're seeing this accelerated growth, which then John might answer the question on whether it's different from the vast majority of the industry?
Chad M. Lindbloom: We did see some pricing or volume growth expansion during March which has continued into April. But the profit per load was correspond -- the cost of hire, basically, was rising faster than our prices to our customers. So we did see some acceleration in March. And whether that increased demand will continue is very difficult to predict.
John P. Wiehoff: We studied and did not see anything across the industry verticals or regional. There's always nuances around -- flatbed was a little better, some of the produce stuff. I mean, you can kind of go region by region, and there's some smaller interesting things, but nothing really that significant. I would say probably the thing that was the most relevant is what I shared earlier that we've clearly, over the last couple of years, have moved up the route guide and probably had a pretty high mix of committed relationships and committed pricing. And so when you're working with those customers on a more dedicated basis and you're at the top of the route guide, it's just a general reflection of an uptick in demand from all of them.
Alexander V. Brand - SunTrust Robinson Humphrey, Inc., Research Division: Okay. It does -- it seems like -- I think it seems like to all of us that the disparity between 10% volume growth and 1% net revenue is pretty big. That seems like a big squeeze. Can you just talk about what -- how much was the cost of hire going up in, say, March? And has it accelerated? What kind of percentage increase in cost of hire are you seeing in April?
Chad M. Lindbloom: The cost of hire increases -- hold on one second. The cost of hire increase -- sorry, I don't have last year's monthly numbers in front of me. So I can't give you. It did increase by quite a bit sequentially from January to February of about 4% just in the one month. And while I'm trying to find it -- okay. Sorry, that's what I can tell you right now. The other thing that I guess is relevant is the 1% is an enterprise net revenue number; that's not just the truckload piece of it. So source and comparisons and other things that are in there as well, too. But it is a pretty -- I understand the point though. It is a pretty meaningful squeeze that has hard to do with comparisons, a lot to do with the increase in the cost of hire and the fact that customer pricing has stayed fairly static for the first quarter through the first part of April.
Operator: Our next question comes from the line of John Barnes from RBC Capital Markets.
John L. Barnes - RBC Capital Markets, LLC, Research Division: Just sticking with this point, has there been any change in your ability to attract carriers in? It certainly didn't feel like, from the truckload results we've heard thus far, that pricing was up as sharply as you're talking about it in the quarter from the larger carriers. And I'm just curious. Has something changed in the carrier base that you've historically recruited from as it -- the amount of capacity that washed out during the downturn kind of finally caught up, now that maybe volumes have got there and that's what's pushing your specific cost of transportation higher?
John P. Wiehoff: Our carrier metrics show that we still are highly driven by the medium and small carriers. So from a pricing standpoint, I don't think the larger public company disclosures would necessarily be the same as that because we -- again, probably 2/3 of our freight moves on fairly small carriers across the network who can and do adjust prices more quickly than the larger carriers who generally have a smaller list of customers that are a significant portion of their freight that have longer-term price commitments to them. So it really would be more looking at sort of those backhaul or irregular lanes of the larger carriers and the pricing there and how that associates with the medium and smaller carrier base.
John L. Barnes - RBC Capital Markets, LLC, Research Division: Okay. But I guess what I'm asking is if -- I understand that you tend to haul on the smaller carriers. I mean, has there -- has something changed in terms of the availability of that capacity that's pushing rates higher? Is there less of that capacity to higher now versus when we've seen prior recoveries in volumes?
John P. Wiehoff: I don't know that we can answer that for certain. We've -- as far as whether there's less available versus if they're just more aggressively raising prices, all I know for certain is that we have thousands of people dedicated towards managing those relationships and getting the best piece of equipment at -- the right piece of equipment at the best price, and they raise their prices. So whether that's indicative of the fact that there's fewer of them or more aggressive or fuel is a bigger deal or they weren't able to work as many hours or we didn't negotiate as well, it's all of that rolled into the buy, sell relationship.
John L. Barnes - RBC Capital Markets, LLC, Research Division: Okay. All right. One question, just on a different topic. Just domestic intermodal during the quarter was strong by all kind of data points. I'm just kind of curious as to -- has there been any change in your mindset around how you approach that market? Have you altered your thoughts about how many containers to own, the percentage of your intermodal business that you want to address with your own equipment and anything along those lines on the intermodal side?
John P. Wiehoff: Nothing real significant other than that we just continue to believe and support the longer-term trend of intermodal being a good option for that longer-haul freight. So we are investing in equipment. We do want to keep that a smaller portion of our total capacity needs that is aligned with dedicated intermodal shippers. So we don't have a lot of fleet risk or utilization risk because we feel like that could put us in a situation where we're trying to force that capacity into the marketplace in the future rather than doing what's optimal for our customers. So we're trying to do the best we can to match more dedicated equipment to dedicated intermodal shippers. And that, by definition, would be a smaller percentage of our total intermodal activity. But we're growing it as aggressively as we can. We're selling it and investing in and where appropriate to match the service. And what we really do see is that, like I'm sure you've seen elsewhere in the marketplace, that those longer length of haul truckloads really have a more and more difficult time competing with the intermodal service, especially when fuel prices get higher and rail service is good and all the rest of that. So we're trying to make sure that we stay active and viable in that space for our customers.
Operator: The next question comes from the line of Justin Yagerman with Deutsche Bank.
Justin B. Yagerman - Deutsche Bank AG, Research Division: Am I right in thinking that you guys basically got pink slimed this quarter? I mean at the end of the day, you guys would've had $0.02 of upside relative to where you were if you'd taken that as a onetime charge here?
Chad M. Lindbloom: The actual pink slimed customer was $1.8 million of provision. So you tax effect that, it's more like $0.005 or $0.075.
Justin B. Yagerman - Deutsche Bank AG, Research Division: Okay. So about $0.01 if I round up my model. All right.
John P. Wiehoff: I think the interesting part of that example, though, is we've talked about it a lot that in the past, it would more typically take a period of years for a customers' credit situation to deteriorate, and we could adjust. And it feels like in the last couple of years we've had good, healthy, long-term customers go bad in very short period of times just representative of the market volatility and the banking environment and all the rest of that. So for us, it was kind of the latest example of where the market's pretty volatile and we just got to be careful.
Chad M. Lindbloom: Yes, usually we are able to see some signs and manage down our receivable exposure by taking less volumes with troubled customers. This one just came -- I mean, I think it was in a matter of 6 weeks they went from probably everything status normal to filing Chapter 11.
Justin B. Yagerman - Deutsche Bank AG, Research Division: Okay. And when I think about -- you gave us some color on the first 23 days of the quarter, and I know we talked on it a bit here. But just trying to get an idea of what's causing the bulk of that margin compression. Is it all pricing? Or is fuel still playing a big role in that? I'm kind of a bit curious if you're willing to talk to what productivity per average employee looks like. Sequentially, your net revenue per average employee was -- improved nicely sequentially from Q4 to Q1, so you were getting productivity pickup here. Is that continuing in terms of overall trend?
Chad M. Lindbloom: It's really -- as far as is it continuing into April, we can't really measure that till the month's over and we close the books and have all the operating expenses in the final April headcount. But I'm not aware of any real shifts in it other than to say, if we are continuing to experience profit per load compression, that could put a slight strain on it. But as far as many productivity measures and how many loads are we doing per person and things like that, we expect those to maintain at their current levels.
Justin B. Yagerman - Deutsche Bank AG, Research Division: Okay. And then if you were to break down that margin compression in April so far between pricing and fuel, what's driving the majority of that? Or is it something else that I'm not -- I got to imagine it's one of those 2 things since volumes are up.
Chad M. Lindbloom: Yes, well, I would say it's a combination. First of all just to be clear, the 10% volume growth numbers on North American truck only, the 1% net revenue growth is consolidated net revenue. So we're not saying that truck net revenues are up 1% with 10% volume growth. But there definitely is -- there is a reduction -- logic would tell you there's a reduction in profit per truckload. Many things in dollars, many things impact net revenue margins including the price of fuel. But the information you can glean from that is there's a likelihood there's a reduction in the profit per truckload compared to last year's April.
Operator: The next question comes from the line of Tom Albrecht with BB&T Capital Markets.
Thomas S. Albrecht - BB&T Capital Markets, Research Division: I wanted to make sure I heard something correctly. John, did you say that it appears to you that some of your customers have experienced a little bit more service failures recently and as a result, you're starting to see more tendering of loads. So that's kind of part one of the question.
John P. Wiehoff: What I said was that along the lines of looking at when and how does pricing and price adjustments occur, it's generally when customers start to experience, in the marketplace, service failures and have demand in excess of supply that's willing to show up is typically when we and others would start to look at price adjustments that are occurring. What we have experienced thus far is an increase in demand, an increase in volumes, an increase in the cost side of our freight. But I'm not aware of a lot of price discussions and renegotiation of customer pricing at this point because of service failures or route guide depth.
Thomas S. Albrecht - BB&T Capital Markets, Research Division: Okay. So we just haven't reached that critical point then. And so I think part 2 of my question is your transportation net margin did rise 60 basis points from the December quarter. For a long time it used to always rise, but the last couple of years it had actually contracted from December to March. Is that just a statistical anomaly? Or is that something that I should take as maybe an early sign of a bottom?
John P. Wiehoff: Could you repeat what you're looking at, just to make sure we've got the right numbers?
Thomas S. Albrecht - BB&T Capital Markets, Research Division: Yes, sure. The transportation net margin was 16.9%. It improved from 16.3% in the December quarter. So I'm looking sequentially last year-over-year. And so even though your transportation net margin declined year-over-year, it did improve sequentially. And is that unimportant? Or it seems like that's the way it used to be, but the last 2 years you'd seen a contraction.
Chad M. Lindbloom: Yes, generally the first quarter is looser than the fourth quarter overall which, if everything else remains constant, you would expect it to expand quarter-to-quarter. When you look at -- fuel prices can have a pretty big impact on our margin percentage, and fuel did creep up a little bit compared to the fourth quarter of 2011, so that drove part of the -- or that -- actually, the fluctuation was greater if you would exclude the impact of fuel, so it's more difficult than what the other first quarters have been in history.
Operator: Your next question comes from the line of Matt Troy from Susquehanna.
Matthew Troy - Susquehanna Financial Group, LLLP, Research Division: I just wanted to ask a quick question on the M&A pipeline. Obviously, we have pending changes to current tax regulation. You probably have more than a couple of people out there that are doing some estate planning. I was wondering if you've seen any more willingness or flexibility at the negotiating table in terms of deal terms. Obviously, the publicly traded asset livestocks have not done well in the last 6 to 12 months. So as a proxy for deal valuations, maybe that suggests that things are a little bit more combinative. Is the pipeline bigger? And are people more flexible? How's it feel out there?
Chad M. Lindbloom: There's definitely some activity going on and there are -- I have seen, just recently, at least some teasers come out from companies that are relatively large sized, privately-held companies. So there's definitely activity going on in the marketplace. I haven't necessarily seen or know of what the pricing expectations are at this time.
Matthew Troy - Susquehanna Financial Group, LLLP, Research Division: Okay. Is it fair to say that you're as engaged as you've been in the past? Obviously, you've been very methodical in your history of M&A. But just wondering if you've stepped up activity or is that more of the same from your perspective.
John P. Wiehoff: I would say that we're going to put the same criteria towards it. But we're as actively engaged as we can be to make sure that we understand all of the opportunities. Our long-term growth story has always been predominantly about organic growth and that customer service level and the things -- the continuity of business that we're so proud of is we don't want to take any undue risks from an integration standpoint or a cultural standpoint. So we're going to have a fairly aggressive filter on any deal that we look at. But we believe that we're aware of everything that's happening in the market, and we feel like we're being as engaged or as aggressive as anybody else to make sure we explore if they fit.
Matthew Troy - Susquehanna Financial Group, LLLP, Research Division: And last follow-up would be just on recruiting. I'd actually heard from 1 or 2 of your competitors that they were losing folks to you. Hard to know what's anecdotal in the marketplace, so I don't want to over read that. But is it safe to say you're able to hire people where and when you need them?
John P. Wiehoff: Yes, we feel very good about that. I think our recruiting pipeline is in good shape. We hire a high percentage of the people right out of school. And that continues to be -- it's still a challenging marketplace for college graduates to get in. So we feel like we have a pretty healthy pipeline of candidates that are there. We do some very selective, more experienced hires in the marketplace, and I think we've had some success with that as well, too. But the high, high percentage of them are recent college grads, and we feel very good about the caliber of people that we're adding to the team.
Operator: Your next question comes from the line of Ben Hartford with MorningStar -- sorry, Ben Hartford with Baird.
Benjamin J. Hartford - Robert W. Baird & Co. Incorporated, Research Division: With Baird. I wanted to get your sense, John or Chad, in terms of the mix of contractual versus transactional business in the quarter, whether we were seeing any sort of discernible shifts in favor of one versus the other, on the truck side in particular.
John P. Wiehoff: Again, it's really hard. Those are fuzzy definitions, and it's hard for us to know precisely where that's at. The definition that we use around contractual is where there's an established price commitment to the customer, and we know that since our top 200 or 300 represent close to 1/2 of our business, and for most all of those customers, we have an established rate matrix and relationship. In the past, we've said, "Hey, there's probably somewhere around 1/2 of our freight where we have a committed relationship or a contractual relationship." Over the last couple of years, because of the more balanced market conditions, that percentage of our business has probably moved towards the high side, probably greater than 50%, where with those larger customers and with anybody in the marketplace in a balanced market, if you want access to their freight, you'd need to be near the top of their route guide and their first phone call or their first electronic tender. So I do feel like coming into the year, while it's a very imprecise science and there's not clear definitions around it, that we did have a fairly high percentage of freight commitments that are more pre-priced or more contractual, and that clearly is where you get squeezed when the cost of hire starts to rise because it's harder to adjust those prices quickly.
Benjamin J. Hartford - Robert W. Baird & Co. Incorporated, Research Division: Good. And then on the LTL side, you talked about being pleased with your offering there. Could you talk a little bit about -- I get positioning this cycle versus the last given the fact that LTL capacity has started to normalize, but the market is obviously more consolidated relative to the truckload and historically has been less penetrated on the brokerage side versus truckload. Can you talk a little bit about some of those dynamics as we think about the next 12 to 24 months for Robinson and for economic growth of LTL brokerage broadly?
John P. Wiehoff: Sure. So I think the longer-term value proposition in the LTL arena is around a single point of contact and process automation and claims resolution, a lot of the value added services that a third party can put onto a collection of other LTL networks. Over the past couple of years when there's been a lot of market volatility and concern about business failures and some aggressive market share moves by some of the larger players, there was just a lot of price volatility that came into play around how business was won or lost and who was being aggressive and who was chasing the low price versus who was looking at service. As you suggested, as the market has stabilized and pretty much everybody is pushing price increases and a little bit more balanced view towards profitability in the marketplace, we feel like it's transitioning back to where our outsourced solutions approached around technology and process and services are going to be the differentiator that would allow us to grow. So we can be responsive to a customers' need around pricing and making sure that it's competitive and adjusting to volatile times in the market. But we feel like it's gravitating back more towards those long-term value propositions.
Angela K. Freeman: And unfortunately we're out of time, so that will have to be our last question. We apologize we couldn't get to all of you today. Thank you for participating in our first quarter 2012 conference call. This call will be available for replay in the Investor Relations section of the C.H. Robinson website at chrobinson.com. The presentation is also located there in the webcast player and also on the Presentations page. The replay will also be available by dialing (800) 406-7325 and entering the passcode 4528312#. The replay will be available at approximately 7:00 p.m. Eastern time today. If you have additional questions, please contact me, Angie Freeman, at (952) 937-7847. Thank you.